Operator: Good day, ladies and gentlemen and welcome to the Harris & Harris Group Third Quarter Shareholder Update Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce you to your host for today’s conference President and CFO, Daniel Wolfe. Sir, you may begin.
Daniel Wolfe: Thank you very much. I’ll now read the Safe Harbor statement. This presentation may contain statements of a forward-looking nature relating to future events. Statements contained in this presentation that are forward-looking statements are intended to be made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the inherent uncertainties in predicting future results and conditions. These statements reflect the Company’s current beliefs and a number of important factors could cause actual results to differ materially from those expressed herein. Please see the Company’s Annual Report on Form 10-K as well as subsequent filings filed with the Securities and Exchange Commission for a more detailed discussion of the risks and uncertainties associated with the Company’s business including, but not limited to the risks and uncertainties associated with investing and other significant factors that could affect the Company’s actual results. Except as otherwise required by federal securities laws, Harris & Harris Group, Inc. undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. I’ll now hand the call over to Doug Jamison, CEO.
Doug Jamison: Thank you, Daniel. Thank you for all those on the phone for joining us this morning. Daniel and I will walk you through a few key events from the third quarter of 2016. There are no slides accompanying our call this morning. We will speak briefly about the portfolio then we’ll answer some questions related to the portfolio and the recently reported financials. We will be setting up a call in January 2017 with shareholders to discuss the proposed changes we will seek to implement as part of the long-term plan being developed by managed and our Board of Directors. We will answer questions on that plan at that time. I hope everyone had a chance to read our recently posted letter to shareholders for Q3 2016. Through the first three quarters of 2016, our priorities have been the following. First, we have reduced expenses of Harris & Harris Group as we discussed at the beginning of the year. Income has increased and net operating loss decreased greater than the level promised earlier in the year. We increased our investment income by a 132%, decreased our net operating loss by 46% during the third quarter of 2016 as compared with the third quarter of 2015. In the first nine months of 2016 as compared with the first nine months of 2015, we increased our investment income by 97% and decreased our net operating loss by 41%. This reduction in net operating loss permits more of the future value of our portfolio to be realized by our shareholders. Second priority, we continue to have companies in our portfolio that we believe are performing well. These companies continue to make progress each quarter, we believe these companies have the potential to generate investment returns that are meaningful potentially larger than our historical returns. We will discuss a few of these portfolio companies momentarily. Third, we’ve refocused ourselves to become leaders in transforming medical care through precision health and medicine. And fourth, we have continued our efforts to provide a Harris & Harris Group co-investment fund. These co-investment funds provide opportunities for shareholders to invest directly into some of our most promising companies. I hand it over to you Daniel.
Daniel Wolfe: Certainly. We will now take a few minutes to discuss what is happening in the portfolio. First, D-Wave Systems continues to make progress. During the third quarter of 2016 D-Wave announced details of its most advanced quantum computing system, featuring a new 2,000 qubit processor. D-Wave also announced the formation of D-Wave Government Inc. a U.S. subsidiary formed to provide D-Wave’s quantum computer systems to the U.S. government. Mersana Therapeutics announced that it has clearance from the FDA to begin a Phase I clinical trial for its antibody-drug conjugate therapy for cancer. In conjunction with this clearance, the company received a $20 million milestone payment from Takeda. Adesto announced that for the quarter ended September 30, 2016 revenues were $11.2 million, which was an increase of $900,000 from the prior quarter and slightly higher than the same period last year. Margins increased to 48% from 46% during the prior quarter and 45% during the same period last year. The company ended the quarter with $21.3 million in cash on hand. While Adesto is not yet profitable, it is important to note that the company would be profitable if it did not invest in research and development of its future products. This is the general conundrum that public companies and especially small public companies face when, in today’s public markets, when they are investing for the future but yet the public markets oftentimes value profitability more than future planning. Additionally, we note that at the Company’s current market capitalization of $31 million, it is being valued at approximately 70% of annualized revenues, which is substantially lower than comparable semiconductor memory companies. We took a rather material decrease to the valuation of HZO this quarter. We believe this valuation decrease reflects less on the ultimate potential value of HZO than it does on how we will build HZO over the next couple of years and how that translates to quarter-by-quarter valuation metrics. HZO had focused its WaterBlock technology on outdoor LED signage, eReaders, wearable technology, consumer electronics, and automotive industry. It has now landed some of the biggest account names in each of these areas. However, winning these accounts requires heavy investment in capital equipment to meet the volume requirements for some of these applications. Now that we have successfully demonstrated our ability to win these most prized accounts, we are refocusing the company on a few key markets and account opportunities to grow more efficiently than we otherwise could by meeting the needs in all of these markets at the same time. This means that outyear growth could be slower than originally envisioned, but the growth may be more profitable and more capital efficient. Much of the product wins for 2017 are already in its plan, so 2017 should not differ from plan significantly if HZO delivers. This focus and strategy impacted how we value HZO and led to the decrease in valuation in Q3 2016. HZO’s focus and strategy is good for Harris & Harris Group because we don’t have access to capital that would otherwise have been necessary to continue to build HZO at the pace it was growing. It will allow us to maintain greater ownership in the long-term. Also, we note that during the third quarter of 2016, HZO did announce a collaboration with Rakuten Kobo to protect its latest eReader, the Kobo Aura ONE. eReaders are a strategic focus of HZO and we believe we are on course to control the water protection of the majority of this market. Doug?
Doug Jamison: Thanks, Daniel. Our precision health and medicine efforts continue to advance. The shareholder meeting in June, we used the railroad analogy to explain how making precision health and medicine a reality was about building out an ecosystem, similar to how the railroad grew and became a dominant form of transportation in the U.S. The group that transforms medicine will be the group that brings the existing disparate components together in an ecosystem and a business plan that provides value for the consumer and the physician. We’re building this precision health and medicine effort differently than we have made investments in the past. We are looking for a controlling interest in a few of the components that we identified as being critical to building an ecosystem or business that can transform how medicine is currently practiced. And we are looking to build our precision health and medicine efforts as an operating company, not under the umbrella of the VDC. We’ll now turn briefly to the future. While making many changes over the past five years, we have stayed true to our fundamental strategy of making venture investments in transformative companies, enabled by disruptive science. We learned and modified how we made these investments, but the strategy was still one of early-stage venture capital. While we continue to believe the market has become incapable of pricing the potential of our long-term disruptive investments into existing market metrics, and while we still believe that our portfolio is capable of providing the returns investors have been investing in us for historically, it is time to face the reality that our business model has not been effective. We are five years removed from the last time we traded a premium to net asset value per share. It is clear that we can no longer accept that our stock price reflects only a failure by the market to price the potential of our portfolio of venture capital investments. Although we believe the former is true, the market is also pricing a pessimistic view of our business model. Over the past 18 months in our letters to shareholders and in our public documents, we have repeatedly discussed the difficulties we face with our business model. These are summarized again in the shareholder letter released yesterday. We will not detail them here. Management and the Board of Directors have been working on a long-term plan to address these business model issues without compromising the value in our existing portfolio. We’ve already taking steps to change our business. Our quote unquote proverbial house is in order to change course now. In January 2017, we will organize a shareholder call to discuss the proposed changes we will seek to implement as part of the long-term plan being developed by management and the Board. We articulate why we believe this long-term plan is the best route to both optimize value for our shareholders and create additional value for our shareholders. We continue to believe there is a way to move forward to maximize the value in our portfolio and to use our structure and resources to create greater value for shareholders in the future. At this time, we’d like to open up the line to any questions. Again, we will postpone addressing most of the questions related to changes in our business until January when we have released more information about these changes. However, we are happy to answer other questions about our business. Thank you for listening and open the lines now.
Operator: [Operator Instructions] And our first question is from Drew Tignanelli with Financial Consulate. Your line is now open.
Drew Tignanelli: Yes. Doug and Daniel, how are you doing today?
Daniel Wolfe: Good morning.
Drew Tignanelli: You talk about the increase in income and decrease in expenses and so forth. What are the actual numbers? I mean I saw them on the thing, but what are the actual numbers of the income and the expenses and the net loss?
Daniel Wolfe: Yes, so Drew I’ll go the nine-month route. The total investment income for the nine months ended September 30 was about $1.3 million versus $675,000 the prior year. And the net operating loss was $3 million through the nine-months this year and $5.2 million for the nine months the prior year.
Drew Tignanelli: So for the year you’ll probably lose close to $4 million.
Daniel Wolfe: That’s correct. That’s a substantial decrease than the prior years.
Drew Tignanelli: Right. So – but, I mean, so far as I can see, you have about $13 million left. How do you expect to sustain that overtime? I mean, do you expect a continued improvement? Will the income continue to increase at that rate and the expenses will continue to come down at that rate?
Doug Jamison: I think the best way to answer that is I think that the changes we are discussing will impact it. So no, the income won’t necessarily be going up at the same rate in the same vehicle we are in now and the expenses going down. But I think we believe that we have a route to some income via what we do in precision health and medicine that will impact our future in doing that. So I think that some of that relates to the changes that we will put in place going forward. But yes, the goal from – I guess what I would say is the goal from the precision health and medicine side is to have that be driven by income overtime, so a revenue model. And I think the goal of managing our portfolio is to do that at as low a price – as low a cost as we can do while maintaining being public and being listed. Daniel, do you agree with that?
Daniel Wolfe: Yes. And I think we’ll talk more about all of that aspect of things in January as well.
Drew Tignanelli: So I’m looking forward to hearing January. But, my problem that I have is when I look at the investments you guys have been making over the last couple years that we’ve been owners, I just shake my head and wonder, what the heck are they thinking about? Especially in the last year or so, when it seemed like we were in a downhill slope and that there were no exits going to happen in the last 12 months or so. You would expect that you would be extremely conservative with what you did with any of your cash. But just you tell me about Adesto Technology. Unless there’s something fantastic going on behind the scenes that you say maybe you know what research they are doing, but there is nothing exciting about that stock. And I’m amazed that they are even going to be able to stay in business unless they figure out how to raise money again. So hopefully, there is something behind the scenes you know about.
Daniel Wolfe: Yes. I mean I think that this is the unfortunate thing about how the public markets look at companies like Adesto. So they have a significant amount of cash on their balance sheet. They just renegotiated a credit facility that is on even more favorable terms and how gives them more flexibility. We do know the company extraordinarily well because we were the first investors in it – amongst the first investors in it. We understand the potential for the technology that they are developing, if they continue to execute and where they can get to. If they were to shut off all R&D today, they would be profitable. And my guess is that they would probably trade better in the public markets. It’s always that conundrum that you go through. NeoPhotonics is a great example of that as well, where the company went public at $11, went down to $3, and now they are back up – I didn’t check it recently. I think they are around $14. It took time, though, because they were building their business. They were building their business as a public company and they were not profitable for a little while. And once they became profitable, their stock shot back up. And so I think your question on can the company survive, because they have to be able to survive to get to that potential value inflection, I think the answer at least with the cash they have on their balance sheet, we believe they are in good shape to do that. I will caveat that we are not on the Board of Adesto. We do not have any material non-public information. So we are basing our opinions of where they are today based on public filings. But yes, we know the technology, we know the company, we know the management team. And I think in the long-term, there’s – at least with what we know right now, we think there’s potential value to be created, particularly significantly higher than where it is today. We haven’t sold a single share because we do believe that the market is mispricing the company at this point in time.
Doug Jamison: To your point, I guess I’d make a couple points. I mean to the first point about being extremely careful, I think on Page 78 of our most recent financials, we always include a chart that talks about investments. And our investments in 2015 were significantly less than they were in 2014, which is significantly less than they were in 2013. And this year shows no difference in that. So we have been much more careful about where we’ve invested our dollars. And again, some of that investments is follow-on investments, where we are already in there and they are raising additional capital. And both the initial average amount and the average follow-on amount have come down on average as well. So we note the extreme importance that is required and I think that is reflected in our financials. Adesto – I mean Adesto probably exemplifies why we need to change, right. So the venture capital model is predicated on making a lot of early-stage investments, many of which fail, but some go on to be very big returns. And a couple things have really happened to us. I mean we are small, and because we trade at a discount to NAV, we don’t have access to capital. And clearly, raising capital at this cost of capital would not be very good for shareholders either. But because of that, we are small. We can’t carry these companies on their own, so we’ve always syndicated. But our syndicate of investors has really disappeared over the last – certainly over the last five years to seven years, but over the last decade, as people moved out of these hard science spaces. Two, the public markets were always a place where you could take companies public and get access to that growth capital. I think the public markets have become much more difficult for these early-stage companies for all the reasons Daniel suggested as well. The net-net result is that it’s harder to get the type of returns that we need in this market. We’ve built companies differently over the last decade to try to be in a position of strength. We’ve continued to modify that. But I think the net-net what you are hearing is that for us to be a publicly traded venture capital firm at our scale with our access to capital is a plan that does not put us in the best position or a competitive advantage going forward. Having said all of that, we do believe we have some companies in the portfolio, right, that one can monetize if we need to, to get access to capital. You know, both public – so we access some capital in OpGen as we talked about monetizing that position. We even think we have some private companies that we can monetize for gains that will provide cash on our balance sheet as we go forward as well. And I think what we’re doing is – some of the companies like AgBiome and D-Wave that we speak to that have cash on their balance sheet, they don’t require more capital for us. Yet, we don’t believe they have reached their value. The goal is to allow those to continue to develop to reach a better potential value for our shareholders down the road.
Drew Tignanelli: Yes, but you bring up OpGen and let’s throw a numeral in there. This is a typical example of what I’m referring to is you are putting money in these companies that are being publicly traded and their stocks are being slaughtered. And the amount of money that you’ve put in there is you can liquefy it, but you are going to take a 60%, 70%, 90% some hit on the liquidity you have in them. I just don’t understand. You were hoping Adesto was going to be worth $12 a share in the IPO. But when I looked at it, I was thinking what the heck are you thinking about? Did you think that this stock could trade in an IPO at $12 a share when their sales are decreasing in percentages? It’s just I mean I hear what you’re saying, that the stock market doesn’t value these types of companies as when you’re – what they may be really worth ultimately. But it’s the market. It’s the way the markets have operated. And I don’t understand the way that you are putting money into these deals and we’re losing huge amounts of percentage on the investment. It makes no sense to me. So hopefully, in January, we are going to hear something different.
Daniel Wolfe: We understand the frustration. And we share this frustration on some of these. I think that it’s – short-term, there’s definitely some short-term pain. We think that there is some long-term gain in these. And it’s where we are at right now. But we look forward to speaking more about the long-term plan in January with you.
Drew Tignanelli: So tell us why did you devalue HZO? You’ve always talked about it as being one of your great long-term potentials. But obviously something happened that you felt you had to readjust its value downward.
Doug Jamison: So yes, these are the day-to-day things that happen within the Company. But effectively, our valuation methodology looks at – looks out overtime and at potential cash flows. And the decision we made this quarter was to keep building HZO at its pace. There is a heavy capital investment that is required to do that. And basically, that would require HZO to go back to the market for $50 million to $60 million of additional capital, right. And we at our size are not going to be – we’re not going to be large investors in that and that means we’re going to get heavily diluted. And so the decision that we move forward at the Board level was to actually look at the markets that are in some of the accounts they’ve won, focus on the ones that we think have the best margin growth for HZO, and dedicate our resources there, which require us to invest no additional capital at this time for another 12 months in the company and allow us to build what I’d say is perhaps a slightly slower-growing company, but a more efficiently growing company than we had in the past. So, again, if you want fast growth, we made a decision against fast growth. If you want growth that has better margins and more efficiency to cash flow positive, I think we made a good choice at the HZO level. But in the way we evaluated impacts, that discounted cash flow into the future. And we thought that taking the decrease to valuation along that methodology of the accounting rules was the right thing to do. But we also think that the business plan that we’ve put in place makes – certainly makes more sense for us at Harris & Harris Group for the type of capital we have to invest in it going forward.
Daniel Wolfe: And I think the only thing I would add to that is that it’s the conundrum of the private evaluations of these companies. I do not believe that we today will sit here and say that we think that the long-term potential value of HZO is different than what it was in the past. It’s just that these companies, as they grow, they go through changes in projections, changes in business model, changes in investment capital required. And you see that on a quarterly basis in a valuation that at the end of the day – again for HZO as of where we are today, we don’t believe that it has materially – that the decrease in value really reflects that we believe there is a material change in the potential future value for it if they execute.
Doug Jamison: We see this. I mean Metabolon goes up; Metabolon comes down slightly. Different things happen in the company. Someone sells shares. We have that information. It reflects in value for whatever reason. So the comparables go up and down in a given quarter. We refocus businesses and things like that. We do it in the public eye and then every quarter we put a value on those investments. We think it’s good because it leads right to the questions that you asked. What is happening with those companies? Sometimes they are fundamental, right. They are fundamental to the companies and they are suffering. Other times they are part of that growth. But at least our shareholders get to see and look at that. But HZO’s revenue is growing. They did more revenue in the first half of 2016 than they did I believe in all of 2015. And we believe that they are winning the key accounts that they are going to need to win for the future. LED outdoor signage has been one that they’ve been very successful in. The other one now is in the eReaders as well. And I think that they will be dominating growth clearly in the next year. So as far as where they focus, that is two areas. One of the areas they defocused out of was consumer electronics, right? Just the scale to be able to do that and the equipment that’s needed on HZO’s end still, because they do some pre-and-post-processing, makes it a massive investment. And I mean you know the leaders in that field in consumer electronics – they squeeze you for every $0.01 possible. So it’s a really difficult area for a new technology to have any sort of power and pricing or anything like that. So you can imagine that we are probably deemphasizing that growth at HZO.
Drew Tignanelli: So when we were together in June, Michael had said something about that there was a big contract they were expecting to win in June. He said something – I think it was smartphones or something of that sort. I never saw anything come through.
Doug Jamison: It wasn’t smartphones. But they won two contracts that they needed to win. And I’ll just tell you one is an eReader device. I can’t tell you what the other one is.
Drew Tignanelli: But it’s not been disclosed yet?
Doug Jamison: Again, the beauty of working with some – of winning what we call the whale accounts is the whale accounts don’t let you tell anybody you are working with them. It’s the conundrum of consumer electronics. And so no, they have not been announced. The other thing I will say, just because I don’t want everybody getting expectations up, is that they also take long cycles before you start realizing the cash. So for instance, in one of the June accounts won by HZO – not in the classic phone or consumer electronics market, it’s still nine months before that revenue starts kicking in. So it doesn’t kick in until 2017.
Drew Tignanelli: So what about the concept of looking at selling HZO or partnering with a big partner who could bring in the capital as opposed to diluting your – well, you are going to dilute no matter what. But what was the – did you look at that concept of doing something with HZO to start to begin an exit?
Doug Jamison: Yes. So, look, when we talk in January, we’ll talk about some of that. Yes, we often look at is there an opportunity that the companies are going to become. They are going to raise a tremendous amount of capital. Is there an opportunity to monetize those positions? And we do look at that opportunity. To be frank, there is not an opportunity to do that currently in HZO. The other question you have is to partner and do that. And yes, that’s something we currently spend a lot of time looking at is there partners for Harris & Harris Group to take away one of our weaknesses, which is our access to capital. Yet the other you clearly see us doing is – I mean, I said it today, which is moving away from early-stage venture capital where, again, you know that future, right? Which is these companies are going to require more capital. They are going to go through ups and downs, and the cycle of their growth does not match with the cycle of our public shareholders. So you can expect to see a change from that as well.
Drew Tignanelli: All right. Well, I’ll look forward to the January call.
Doug Jamison: Thank you, Drew.
Daniel Wolfe: Thank you, Drew.
Drew Tignanelli: All right. Good bye.
Operator: And our next question is from Sam Rebotsky with SER Asset Management. Your line is now open.
Sam Rebotsky: Yes. Good morning, Doug and Daniel.
Doug Jamison: Good morning, Sam.
Sam Rebotsky: It’s been a while since I’ve been talking to you guys. I’ve just been rather busy. But I’m looking at the subsequent events, and you sold OpGen and you basically – what kind of loss or profit did you take on OpGen?
Daniel Wolfe: Yes. So on OpGen, we did realize a loss on OpGen, our cost basis. We still do have warrants outstanding, so if you just look at the shares themselves, we sold our shares for approximately $2.3 million on a cost basis for those shares of $5.4 million.
Sam Rebotsky: Okay. And as far as making new investments, you’re really limited to make new investments. Because if you make new investments, you sort of – you are spread too thin. You know? And when you look back on NeoPhotonics, I mean, as you say, it went down to $3. You didn’t buy in more at $3 and then you took your money off the table. And so you didn’t – to get into a new investment. So that seems to be a problem as far as I can see, because you can’t be in all the different investments. I presume that’s what you are going to address in January, I guess.
Daniel Wolfe: Yes, I think you are correct. I mean to note – again, we do recycle our capital. So we were very clear at the beginning of this year if you looked at cash and everything like that that we were going to be monetizing investments. I think we fully agree with you that monetizing investments to continue making non-controlled syndicated early-stage venture capital investments is a very difficult thing to do, as has been noted multiple times historically. Buying back shares might be the better thing to do in that. But we’re also a public company, right. I mean and to put the company in runoff mode I don’t think is in the best interest of shareholders either. So the conundrum we always faced up and to this point is clearly making new investments that can provide the type of returns we are looking for, even though we know many of them will fail to do that, versus basically staying in what we have. And clearly, all of that with an insight of we think we have some real winners in the portfolio that are going to take more time to monetize. So that’s sort of the cycle we are in and I think we are breaking that cycle. But to be honest, we broke it a while ago, right. Yes, we didn’t monetize NeoPhotonics because we thought it was going to be many years before it really climbed in value. And we thought it was still going to be a loss and we thought we could recycle that capital better. Most of the capital we’ve been recycling recently, we have been trying to take larger positions in some of those companies. Again, to have more ownership and have more say in what they do. HZO is a great example. Most cases, we wouldn’t win that battle, right. More money would go in and they would grow faster, diluting us and taking us out of it. So I think we have stayed true to the learnings we’ve had. We clearly have recycled. OpGen is another case of recycling, right, which is that OpGen is run by a fantastic CEO. They will probably figure out their business. I think the markets will be cautious or negative with them for some time to be. But for us, we needed to basically monetize that position and turn it into cash now. And it was never going to be the home run. So the other thing we recognize is what are the companies that can be home runs and can’t be home runs. And usually you see that reflected on the balance sheet in how we value that. Sorry, the short answer is yes. We are addressing the issues we face, that we’re basically using our capital to put it in long-term venture capital investments where we won’t see the return for some time in the future while our stock continues to decline and while we face the issues in NAV. And we think a different plan will be more fruitful for investors. But I want to be clear, which is that it’s an easy decision if there’s nothing in the portfolio that has value, right? It’s a difficult decision when there are potentially companies in the value that could return the share price of the stock a couple times over. And what do you do? So yes, we’ve been trying to reduce expenses and everything like that. But how do we do that in an effective manner for shareholders, but still to optimize the longer-term values.
Sam Rebotsky: Well, you’ve been constructive in reducing expenses and creating fees, which – relative to the companies that you own, which is very positive. Now, relative to D-Wave, I think they raised a bunch of money and some of the TINY investors came into this. And could you sort of address where they are as far as the raise – how much they raised? And do they compete with Cray Inc. with the supercomputers? And if they do, how do they compete against Cray?
Daniel Wolfe: Yes. So D-Wave has not actually publicly announced it, but it got sort of pulled out into the press. They raised $21.2 million in a first close of their current round in March of this year. They are still working on that fundraise. There’s a bunch of different groups that are looking at potential investments in the company. The co-investment fund actually has not closed yet because we are waiting to close with whatever other capital comes in. We are hoping that the close happens before the end of the year and with some of the individual investors who were interested to participate through our co-investment vehicle. So that is – it’s moving, but it’s – fundraising is never a fast process. On your question about Cray, so D-Wave’s computers are able to solve problems that are even difficult for the largest supercomputers to be able to solve. So the way to think about D-Wave’s computer: it’s a complementary system to provide new capabilities that can be used alongside systems from companies like Cray, Hewlett Packard Enterprise, which bought SGI and IBM, and other companies that have very large computing infrastructures. So it’s not a direct competitor. It’s more of a complementary capability – a complementary system.
Sam Rebotsky: Okay, that’s very helpful to understand. Look, good luck. Hopefully, for – oh, and you have $2.5 million to buy as far as stocks. You approved that November 3. Do you expect to be in the market or what does that mean?
Doug Jamison: So I mean to be blunt, with our honest – with our cash position currently, I don’t think you will see us in the market. If we monetize a position or put more cash on the balance sheet through monetization events, because we’re not raising capital at this point, the Board will make that decision at that point in time. But we will have the flexibility to do it with the announcements that we’ve made.
Daniel Wolfe: Yes. Part of the reason we did that is because the regs require us to – the Board to approve it, basically, and to give notice to shareholders every six months. And so we want to have the flexibility to be able to do it, as Doug said, if we are in a position to do it. But it’s – we just have to go through and resolve it and notice shareholders each six months.
Sam Rebotsky: Okay. Well, from my opinion, it clearly makes sense for you to hunker down and make appropriate investments and really be very limited on new investments so that you don’t dilute the investments that you have that you think are going to work. Because there’s always another train leaving the station and you can’t take every train. So hopefully, you come to a decision with the Board that helps long-term shareholders and new shareholders to make some money in Harris & Harris. Good luck.
Doug Jamison: Thank you, Sam [indiscernible]
Operator: [Operator Instructions] And I’m showing no further questions at this time. I would now like to turn the call back over to Doug Jamison for any closing remarks.
Doug Jamison: Yes. So thank you all for listening today. I think there will be more information and new information out before the January call. But we look forward to speaking in more detail to the shareholders at that point in time. And after we speak to them as a group, both we will also be speaking one-on-one to them. So we will certainly do the outreach talking about our plan for the future. Thank you all very much and we will look forward to speaking with you again soon. Thanks.
Daniel Wolfe: Thank you.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. That does conclude this program. You may all disconnect. Everyone have a great day.